Operator: Good day, ladies and gentlemen, and welcome to the Seadrill Limited Q1 Earnings Conference Call. At this time, I would like to hand the conference over to John Roche. Please go ahead.
John Roche: Thanks, Martin and good afternoon everyone and welcome to Seadrill Limited’s first quarter earnings call. With me today, I have Per Wullf, our Chief Executive Officer; Rune Magnus Lundetræ, our CFO; and Anton Dibowitz, our Chief Commercial Officer. Before we get started, I’d like to remind everyone that much of the discussion today will not be based on historical facts, but rather consist of forward-looking statements and are subject to uncertainty. We articulate some of the key items on page two of the presentation. For additional information and to view our SEC filings, please visit our website at www.seadrill.com. To begin discussion today, Per will take us through the first quarter highlights and some of his thoughts on Seadrill and the company’s position in the current market environment; then Rune will discuss our financial highlights and near term funding requirements; and finally, Anton will offer some color on the overall market. Before I do hand things over to Per, I’d just like to remind everyone that the figures presented in the following slides are for Seadrill Limited standalone or excluding Seadrill Partners and SeaMex. In the past, we’ve presented consolidated numbers for comparability purposes. However, seeing as we are now at full year path of deconsolidation of Seadrill Partners, standalone figures are now comparable to prior periods. So with that clarification, I’d just like to turn over to Per Wullf, our CEO.
Per Wullf: Good day, everyone. Seadrill continues to be focused on operational excellence and financial flexibility in order to manage through this downturn. The first quarter of 2015 is a prime example of what has been accomplished, with improved operational performance and cost cutting initiatives driving the outperformance of the group. I’m pleased that we were able to deliver operationally and achieve economic utilization of 93% for the floaters and 98% utilization for the jack-up fleet. In the first quarter one drillship into service of West Carina, and the West Tellus, another drillship started a three-year contract was on the Libra Field for Petrobras in Brazil. I’m also very pleased with the reductions to the cost basis till now and look forward to continuing this effort in order to maximize profitability for all stakeholders in our business. This year, we still see the opportunity to improve the cost saving achieved in 2014. However, our commitment to operational excellence is unwavering. It is particularly important to continue these efforts and we have continued to try to improve our cost basis without compromising on safe and efficient operations. Overall, the industry continues to face challenging times and while the first quarter performance has been solid, we are not immune from the wider industry challenges. The remainder of 2015 will see subdued market conditions and indications suggest that the challenging market continuing into 2016. With pre-emptive actions including dividend cut and cost saving initiatives that we have taken early in the cycle to balance the company’s commitments and financing requirements have greatly strengthened our position, underpinning the company and providing us with flexibility to make the right commercial and strategic decisions for the long-term success of the Group. Last quarter, we mentioned that numerous steps have been taken to manage our new build deliveries to be more aligned with demand in the market. Although I cannot point to specifics of this point beyond what we’ve already announced, discussions are progressed and I’m confident that agreements can be reached. However, these agreements will likely not be announced until later in the year. In terms of contract renegotiations, the Seadrill, along with the rest of the industry is encountering challenges to its contracted backlog as some counterparties request relief to dayrates or seek early contract termination. These discussions continue with most customers and Seadrill will continue to take commercial approach in order to reach agreements that benefit both parties. Despite the recovery in the oil price during the first quarter, oil companies continue to take a cautious approach to capital expenditure and other cost commitments, given the severity of the overall oil price decline. We anticipate this cautious approach to continue throughout 2015, and indications are that 2016 is likely to be a quite challenging year as well. During the quarter, the market has seen very little new fixture activity and the new contracts that have materialized are at significantly lower dayrates. Although the near-term outlook remains challenging, there is potential for rebalancing of supply in the next few years when considering the size of the new build order book and the degree of scrapping that is expected. Anton will take a deeper dive into our view later in the call. Regardless of the platform downturn to recovery, I again stress that Seadrill is well equipped to manage through this journey and take advantage of the upturn when it materializes as we have taken decisive action early in the downturn. Seadrill had another strong quarter and has grown EBITDA by 14% year-over-year. We expect second quarter results to be roughly 70 million lower, mostly due to idle time on the West Taurus and the West Resolute. However, roughly 25 million of this figure is due to a full quarter of deconsolidation of SeaMex. Backlog for Seadrill Limited is $8.9 billion, the Seadrill Group backlog is $15.4 billion and Seadrill Limited’s last quarter backlog was $11.6 billion and Seadrill Group’s backlog was $17.2 billion. And utilization for the quarter averaged approximately 93%. In spite of a few operational challenges during the year, the benefits of a uniform, best-in-class fleet continues to be realized. Overall, I’m pleased with the results for the first quarter in a very challenging environment. We manage to drive efficiencies by keeping utilization steady and we will continue to execute as the year progresses. Now Rune will take us through the financial items.
Rune Magnus Lundetræ: Thank you Per. And good afternoon and good morning everyone. So, I will start off with the financial highlights. Revenues for the first quarter of 2015 were $1.244 billion, slightly lower compared to the $1.261 billion in the fourth quarter of 2014. Operating profit for the quarter was $703 million compared to $452 million in the preceding quarter. The increase was primarily due to the gain on deconsolidation of SeaMex, a full quarter of operations for additional three drillships partially offset by idle time on the West Navigator and the loss on impairment of goodwill recognized in the previous quarter. Net financial and other items for the quarter showed a loss of $197 million compared to a loss of $251 million in the previous quarter. The sequential improvement was primarily driven by small losses on derivative instruments and foreign exchange gains due to unrealized translation gains on NOK and SEK denominated funds. Finally, income taxes for the first quarter were roughly in line with the fourth quarter of 2014. Moving over to the balance sheet, as for the first quarter this year, total assets were approximately $25.8 billion, a decrease of $687 million compared to the previous quarter. Total current assets decreased to $3 billion from $3.4 billion over the course of the quarter, primarily driven by decrease in the value of marketable securities and the deconsolidation of SeaMex. This was partially offset by the increase in amounts due from related parties. Total non-current assets decreased to approximately $22.8 billion from $23.1 billion, primarily due to the deconsolidation of SeaMex, and this was partially offset by the final yard installment on the West Carina. Total current liabilities decreased to approximately $3.4 billion from $4.6 billion, primarily due to loan repayments and normal quarterly debt installments. Long-term external interest bearing debt increased to $10.6 billion from $10.3 billion over the course of the quarter and total net interest bearing debt decreased to $11.3 billion from $11.8 billion as at Q4 of 2014. This decrease was primarily due to the repayment of various credit facilities including the repayment of $522 million of debt related to the SeaMex transaction, and this was offset by the new credit facility for the West Eclipse and West Carina. Total equity increased to approximately $10.7 billion as of Q1 2015 up from $10.4 billion as of Q4, 2014, and this was primarily driven by net income earned during the first quarter, offset by unrealized losses on marketable securities. Then a slide on the SeaMex deconsolidation. In March 2015, the company closed the SeaMex joint venture agreement with Fintech Advisory Incorporated, which included five jack-up drilling units located in Mexico under contract with Pemex; and this is namely the West Oberon, West Intrepid, West Defender, West Courageous and the West Titania. As a result of the closing of the transaction, the company has deconsolidated this entity as of March 10. So, looking at the SeaMex highlights and the transaction, total consideration was $1.17 billion made up of net cash of approximately $586 million, a Seller credit of $250 million due in 2019, related party receivable of $185 million, mostly made up of the Titania tranche not Onix [ph] and also the settlement of the West Oberon debt of $150 million. In terms of financial impact in the financial statements. Net asset disposal is approximately $1.15 billion. We paid down or repaid the $522 million of debt related to four of the units. And we have a P&L effect of $186 million as gain on sale. Going forward, you will see adjustment of approximately $81 million per quarter on the revenue side and $40.5 million per quarter on EBITDA. During the first quarter of 2015, the Seadrill Group successfully completed 1.7 billion in financing in the secured bank and ECA markets. The company’s banking group continues to show support for new financing transactions at attractive terms and this market is currently offering the most attractive funding opportunities. Seadrill has consistently taken a proactive approach to discussions with banks and has agreed to a leverage covenant waiver to help provide the flexibility to continue to make the right commercial and strategic decisions. The company is in the process of finalizing an agreement to amend the leverage ratio covenant through December 2016 on its secured credit facilities. This serves as yet another example of the support Seadrill has from its banking group and the lenders’ confidence in the company’s ability to manage through this downturn. Today Seadrill has approximately $1.3 billion in debt maturing in 2015 and 2016 combined and a total of $1.8 billion in amortizations being served by the operational cash flow. In terms of yard installments, the company will be looking to fund a total of $3.5 billion over the next two years which may change if delivery dates are revised. The total funding requirement through 2016 is therefore $4.8 billion assuming no revision to delivery dates, while in the same period debt is reduced by $1.8 billion by paying amortization installments. Looking ahead, in the coming months, we will be looking to finance the West Mira which is contracted to Husky on a five-year term contract in Canada. In terms of the near-term funding strategy for the four jack-ups maturing later this year and the 350 million bond due in the third quarter of 2015, the company expects the cash on balance sheet to pay down these amortizations. The company also expects to have adequate cash balances to fund all 2016 debt maturities and scheduled amortizations. Should an attractive offer materialize to refinance, we will take the terms under consideration. I’ll then hand over to Anton, Chief Commercial Officer.
Anton Dibowitz: Thanks, Rune. As expected, the off shore drilling market continues to face challenges from both the supply and demand standpoint and has continued to deteriorate since our last earnings call in February. On the supply side of the floaters segment, the order books stands at approximately 89 units of which 29 are Sete new builds. With contractors seeking to defer deliveries and open questions regarding the number of Sete rigs that will ultimately be completed, the timing of fleet additions is difficult to forecast with precision. But regardless, a significant number of new rigs will be added to this market over the next few years. It’s notable however that many of the approximately 70 rigs that are rolling off contract between now and the end of 2017 are 15 or 20 years of age and as a result must undergo major class in projects which involves significant costs. As a consequence, scrapping activity which is already at its the highest level since the early 90s is likely to accelerate over the next two years. This means that potentially we could see little or no growth in the marketed supply of floating rigs between now and 2018. On the supply side of the jack-up market, the order book stands at approximately 150 units. Here it’s note worthy that number, roughly half of these units have been ordered by contractors with little or no operating experience and their ability to secure work remains to be seen. To date, we have not seen scrapping activity in the jack-up market to match what we have witnessed in the floater segment, primarily due to the relative ease and low cost of stacking these rigs. However with 50% of the fleet in excess of 30 years of age, it remains highly likely that scrapping activities will occur in the segments in due course. From a demand side, despite the increase in commodity prices since the beginning of the year, oil companies remain extremely focused on reducing costs through this budget cycle and possibly the next. While quarter-over-quarter tendering activity has increased, it still remained significantly lower when viewed on a year-over-year basis. Number of the old contenders, our market testing activities on the part of oil companies and delays or cancellations of tenders are common. During our last call in February, we indicated that with multiple rigs competing for every job, dayrates will quickly be driven down too of the low cash breakeven levels. This is precisely how the market has evolved due to the last quarter, as oil companies leveraged the highly competitive markets to help reset pricing levels. In fact, some of the recently announced fixtures have been at exceptionally low levels. It is important however to differentiate between actions taken by financially challenged contractors eager to demonstrate their ability to secure work, regardless of rates and actions taken by prudent contractors. In the case of prudent contractors, it may make sense to take short-term work even at extremely low levels to fill gaps until commencement of previously secured longer term contracts or if there is a reasonable expectation that follow-up work can be found. Absent these conditions continued discipline with respect to scrapping of older rigs and cold stacking of rigs to remove them from market and supply is still required to return the industry to supply demand balance in the short to medium-term. In summary, the market remains challenging but Seadrill with the premiums fleet, strong contracts and backlog, solid customer base and demonstrated history of operational performance is well-prepared to mange through the downturn.
Per Wullf: Thank you, Anton. The first quarter of 2015 is a prime example of what Seadrill has accomplished from an operational and cost management perspective. The key driver of the outperformance in the period was due to uptime on our fleet and implementing cost efficiencies across the business. These factors are part of a continuing effort and the company will continue to have an intense focus on further improving its performance in these key action areas. Prudent decisions have been made to preserve Seadrill’s long term viability, whilst allowing for flexibility, should either the downturn prove longer than expected or potential growth opportunities emerge. We have also positioned our balance sheet to have a more manageable debt maturity profile that can predominately be addressed with cash flow generated over the next two years. Seadrill’s strategy of maintaining a best-in-class fleet with a keen focus on operational excellence will continue regardless of market conditions. As we progress through the downturn, further efforts may be made to exploit opportunities as they arise. A clear focus on return on invested capital will be the consistent driving force behind strategic decisions as the company believes this is the primary driver of shareholder value.
John Roche: Thanks, Per. That concludes our prepared remarks for today. Before we do open for questions and answers, we do have a lot of callers today; just can we limit every -- the questions to one question and one follow-up. If there are any model, fine tuning or accounting questions, please follow-up with me on individual basis after the call. Operator, turning over to you to assemble the queue please.
Operator: [Operator Instructions] Today’s first question comes from Anders Bergland from Clarksons Platou Securities. Please go ahead.
Anders Bergland: Couple of questions on the OpEx level. Could you walk us through, how much of this -- the cost cutting is something that is sustainable and how much of this could be let’s say activities related?
Per Wullf: Yes, I cannot do it -- we do not do it dollars terms but when we have gone through four corners of our expenditures and listed it and how we drive it, a good work from we can see at least of our cost basis that one-third of our cost is -- our cost saving is sustainable savings and two-third of our cost savings that is deferred.
Anders Bergland: And just another quick question on the new builds. Several of your peers have been able to push deliveries of this -- of their new builds upto two years? What is the potential deferral for your five new builds without contract?
Per Wullf: Well, I can’t really comment on that because we are in the middle of negotiations but I can say is and I said that last quarter as well, apart from Mira that’s coming out here in late summer, if we do well, we don’t take any more deliveries in ‘16, we don’t plan on. We are in the middle of the negotiation and I cannot really comment on it. But of course we are working closer with the yards on deferring it. I know that, all of our competitors have to manage to delay them, 6 months to 18 months and we’ll see what we will do; you will know that later in the year. But, we avoid on as we speak, so, I cannot really comment more on it.
Operator: Our next question is from Ian Macpherson from Simmons. Please go ahead.
Ian Macpherson: I’m also still a little confused on the cost. When you said that your savings are one-third sustainable and two-third deferred, I’m not sure what exactly the context is of that statement. But the P&L that you provide for floaters and jack-ups in your slides, the costs, just they don’t sum to the consolidated total. And I’m really trying to get through what your normalized daily OpEx in the quarter is right now because it would appear that there is low as about $150,000 a day but the numbers here again seem to confuse. So, could you sort of fill in the blank on that for me and then reiterate how much of that you think is structural versus savings that are deferred?
John Roche: On slide side, I’ll take it up with you offline on the call.
Ian Macpherson: It’s a significant delta though John.
John Roche: I’ll take it up with you offline.
Operator: Our next question comes from Lukas Daul from ABG. Please go ahead.
Lukas Daul: I would like to ask about the comment you made on the dayrate level these days. Obviously some guys are very aggressive. My question is how are you sort of acting in this environment; are you bidding or are you not bidding, would you rather have your rigs working at lower rates, or having them one stack; sales an you elaborate from that a little bit?
Anton Dibowitz: Absolutely, we are bidding. It’s an extremely challenging market and we chase all the jobs that are out there. I think as I allude to in my comments, I think we need to differentiate a little bit between working rigs on short-term contracts where a rig is positioned in a specific market and you have a reasonable faith that you have follow-on work or you are trying to bridge to a longer term program and what your expectation is to -- for a long term contract. One of the things, people need to make the hard decision taking older rigs out of the market that aren’t going to work. And even for those who have newer fleets, making decision that if there is not work in the foreseeable future that you take the rig out of the market for a period of time and cold stack it. So, what you bid has a little bit to do with what you see for the future of the rig, where you are in the geography, what the client is and what the future prospects in the area is. And I think you’re talking about different levels, when you talk short-term or long-term work. Obviously, we look at it on a portfolio basis. We will chase the work that’s there, but we will also position our rigs to take advantage of inevitable upturn that will come later.
Lukas Daul: And you also mentioned that there are still ongoing discussions with operators regarding potential contract amendment and that we might hear something towards the end of the year. Can you just sort of elaborate a little bit more, what should we expect because so far we haven’t really seen anything besides the Aramco adjustments which was minor order beat determination which was against to be?
Anton Dibowitz: No, it’s no secret that our customers are under and remain under pressure to reduce their expenditures. Per mentioned that the Aramco, we are having engaged in discussions with a number of customers and of course we’ll come out and make announcements about those if and when they’re concluded. For us, it’s one thing that renegotiation does is provide an opportunity for us to reduce -- we contact risk in a down cycle. But I’d reiterate the comments we made in the quarter and also last quarter that on the whole, the discussions that we are having with customers are generally collaborative in nature. We have contracts and we work hard on the contracts and writing them, so that we have contract rights and we will enforce them if we need to but generally, discussions are very collaborative in nature and provide value to both sides, as others have discussed in terms of current rate relief or additional backlog or additional work on another asset.
Lukas Daul: John, if you could keep me posted on the OpEx build, I would appreciate it.
Operator: The next question is from Gregory Lewis from Credit Suisse. Please go ahead.
Gregory Lewis: I guess this first question is for you Rune or John. So on the slide you talk about the $1.7 billion in financing that was secured by banks and ECAs. Is there any way to determine how much of that is against new buildings and how much of that was just sort of existing -- is for the existing fleet? I’m just trying to understand, if there are delays, whether there are not, how much of that will be accessible without taking on new builds?
Rune Magnus Lundetræ: Approximately, 500 is related to Carina, the new build, we took delivery of in January. Then you have 150 which is for the Titania, which is also new build, part of the SeaMex facility and then the rest is refinancing of the West Eclipse and the four other jack-ups.
Gregory Lewis: And then just, clearly you guys are pretty upfront as is the rest of the market, there is just not a lot of opportunities for work. I mean you guys are in an interesting spot that you don’t really have any really hold rigs in the fleet, but there a couple rigs that are a little bit older, may be 5th, 6th gen damages. [Ph] Is there thoughts about cold stacking those rigs, just given the fact that there will be a few other rigs rolling off contract and does that probably make sense to keep those working versus maybe some of your older assets?
Per Wullf: Yes, I can comment on that. The only place where we have a couple of old rigs is actually in North Atlantic Drilling. Right now, we have and we’ve had since January 4th, we have had Navigator stacked and she is in between warm and cold-stack mode you could say. We are running Navigator down at around $30,000 daily in a semi warm stack mode and we’ll go further down on cost of that form. So, that rig is from -- this is drillship, it’s from 2000 and we are looking at future for that rig. We don’t see any work for that rig in the foreseeable future. So, that is going to be determined over the next quarter while we’re going to do with that work but you might see that one cold stock sold. Then we have one other rig. And like you said correctly, we’re in a lucky situation or in a strategic situation where we really don’t have old rigs out there. We have one more and that is the West Alpha. West Alpha is enjoying a good solid contract with Exxon n the North Sea and we will see what we’re going to do with that rig. But it could go same way as Navigator once that term period stops in next year sometime. That’s the only two rigs we have being older, you could say. So that is controllable.
Operator: Our next question is from Amy Wong from UBS. Please go ahead.
Amy Wong: One of the competitors recently said that they’re seeing a modest increase in customer conversations for term work and with start date potentially starting in the second half of 2016. It seems to be a little bit in contrast to what you guys are saying in terms of the subdued market continuing to 2016. So, can you maybe comment on why that is -- why you’re not seeing any of these conversations or if they are taking place, what’s the potential start date for it?
Anton Dibowitz: I don’t want you to misconstrue what I said in my prepared remarks or earlier comments. There a lot of conversations that are going on. There is generally six to 12 months lead time if we’re talking about deepwater and floater program. So, we’re having conversations for assets, a number of conversations. The caution I would have is despite the number of conversations as the prices are reset, a lot of those conversations aren’t turning into conversions; tenders are delayed or even outright canceled as you just saw happen in Brazil. And oil companies are checking prices to see if programs are economic. So, there is definitely conversation going on; we just need to get to conversion and putting ink on paper and getting back to business.
Operator: Our next question is from Hyder Maindov [ph] from Goldman Sachs. Please go ahead.
Unidentified Analyst: The question I have is about the deal with Rosneft. If the sanctions were to be removed, how quickly would be on track to go ahead with this deal?
Per Wullf: We extended our agreement as you know over the couple of years and we did that on purpose because we want to be there if and when sanctions get lifted, so we can get after it. Of course, it will take us a little time but it will also be the case for the sanctions I guess. But if you look at a rig like Navigator, that is one of the rigs and she is been idle since January, like I said before. You would look at a two months period before she could go and leave the key site ready to go drilling that is the situation right now. If we decide to approach that Navigator, you would look as a four months period. So, anywhere between two to four months on that rig. Another rig like Alpha, she is working now as we speak. She went directly over to Rosneft to adjust -- not going be any waiting time at all. So, for idle rigs, it will be two to four months and then for rigs on operations, they could go directly in, and that’s why we have kept this agreement with Rosneft, so we can easily act should sanctions be lifted.
Operator: Our next question comes from Mark Brown from Global Hunter Securities. Please go ahead.
Mark Brown: I just wanted to ask about the comment on the covenants. You are in the process of finalizing those agreements to amend the average ratio. What would it take to finish that process and be able to announce an agreement, and what would be specific change to your covenants be in that?
Rune Magnus Lundetræ: We don’t want to say -- I mean, it’s just to sign off on the change in the agreement, that’s what’s outstanding. And specific to what we’re looking at is an adjustment to the EBITDA multiple between now and the end of ‘16, and then there is a uptake in the margins depending on by how much you go above 4.5 times EBITDA which is the current covenant. And it’s not something necessarily think we would need but we decided that we wanted to get this in place early, so it doesn’t impact the way we run the rest of the business.
Mark Brown: Okay, thank you.
Rune Magnus Lundetræ: It is the process, it just hasn’t been formally finalized but it’s very close.
Mark Brown: And then just question on Seadrill Partners. What’s your view on drop-downs at this stage? And considering that some of the rigs at SDLP seeing their contracts and are there any options that you would have, maybe to swap in another rig or just drop down partial, just curious what your thoughts are at this point.
Per Wullf: I think the way to answer that is that we are looking at opportunities for drop over the partners and we do that on a continuous basis. It hasn’t changed despite the current market conditions. But I cannot obviously go into specific; that will be announced when the time is right.
Operator: Today’s final question comes from Andreas Stubsrud from Pareto. Please go ahead.
Andreas Stubsrud: I had a question regarding West Eclipse drilling at Girassol in Angola. There’s only a couple of weeks left. Do you have any update on that, discussions with Total of getting more work; are you done there with development drilling; what’s the status of that rig?
Per Wullf: You are right. Well, Anton and me, we are almost fighting about showing about this one, but I would take it. We have two and half weeks left on that rig, you are right on that. I’d say that we are in very good positive negotiation on that rig and we expect to have a conclusion on that rig for continuous work on that rig within the next three-four weeks or something like that that is fair to say. We need to -- there will be if this all materializes which we expect it will, there will going to be an interim period before we start the next term and that would go in use for accelerating the rigs up for classing in February next year anyway. So we will just do it here in fall and then we will commit the next contract. But no, this contract has not been signed yet but we expect income payable as Anton says within next four weeks time.
Andreas Stubsrud: And other rig and the question on West Taurus in Brazil, how long can you stay there before you have to leave the country?
Per Wullf: What we are doing right now is that we are doing the five year classing of that unit. It’s pending on what happens in Brazil because as we all know, more rigs get popped than getting contracts and for Taurus, it would be hard to see a future but still as we see it right now, to be honest; we have written it right now it moving and exiting this rig out of Brazil around summer. On July it could be August, we’ll check out and then it could go into one semi-warm stack period from August somewhere else than Brazil. So as you know you cannot stay in Brazil if you don’t have a contract and we have so far not had any success defining a contract for Taurus in Brazil. So we exit probably July, August from Brazil.
Andreas Stubsrud: And I apologize to John but since I’m the last caller, I had the third question if I may, the stacking costs are serious, cold stacking costs are serious. Do you have any data point on that?
Per Wullf: I can give you very rough figures between $8,000 and $11,000 a day or something like that. But we have not -- it is not cold stack yet because it takes a while to cold stack that unit. Right now what we are doing right now is that we are taking off the thrusters of the rig and as you were going to cold stack in the states. And I think you can look at that rig being cold stacked in a month and a half or something like that. So there is a lot of preparation for cold stacked between around $10,000 a day, that’s a good figure to run within the cold stack mode.
John Roche: And actually we’re seeing -- I just had another caller pop up on us here. So operator, if we could open up the line for them.
Operator: Yes. The final question now comes from Stian from Arctic Securities. Please go ahead.
Stian Malterudbakken: Could you please just add more general flavor of potential refinancing of opportunities in ‘16, ‘17, such as or banks willing to refinance some of the credit facilities, and if so what the amount of the bullet and/or remaining debt could you potentially be able to refinance?
Anton Dibowitz: I think we are running with that assumption. But having said that we also have -- we are really focused now on building a cash, so we don’t -- we are not forced to refinance or forced to take on more debt necessarily. So I think we are running with an alternative which is to take out the refi with cash as you’re doing with the jack-up facility that matures in October this year as we do with the 350 bond that also matures later this year. We have very light refis in ‘16. We have only two facilities and the total is approximately $450 million. So, I think we are in pretty good position where we will not be forced to do anything let’s say stupid in terms of what we pay for that refinancing. I think ‘17 of course is way out there but we are still confident that the bank group will continue to support us, and we saw that also in the process with the covenant amendments. We have 46 banks came back and supported us without any pushback.
Stian Malterudbakken: Just a follow-up question. Have you bought back loans [ph] and/or will consider doing so?
Rune Magnus Lundetræ: I just refer to what you need to see are change in positions. So, we don’t comment on that level.
Operator: There are no further questions.
Per Wullf: Thanks operator and thank you for everyone online and listening to our webcasts, for joining Seadrill’s first quarter conference call and I’ll see you all next quarter. Thanks. Goodbye.